Operator: Good morning, my name is Michelle and I will be your conference operator today. At this time I would like to welcome everyone to the New York Times Company Q1 2015 Conference Call. [Operator Instructions] After the speakers' remarks there will be a question-and-answer session. [Operator Instructions] I would now like to turn the floor over to Ms. Andrea Passalacqua, please go ahead.
Andrea Passalacqua: Thank you, and welcome to The New York Times Company’s first-quarter 2015 earnings conference call. On the call today, we have Mark Thompson, President and Chief Executive Officer; Jim Follo, Executive Vice President and Chief Financial Officer; and Meredith Kopit Levien, Executive Vice President and Chief Revenue Officer. Before we begin, I would like to remind you that management will make forward-looking statements during the course of this call, and our actual results could differ materially. Some of the risks and uncertainties that could impact our business are included in our 2014 10-K. In addition, our presentation will include non-GAAP financial measures, and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our website at investors.nytco.com. With that, I will turn the call over to Mark Thompson.
Mark Thompson: Thanks Andrea and good morning everyone. The start of 2015 saw us continue to make real progress in our digital business with double-digit year-over-year growth in the first quarter in both digital subscriptions and digital advertising. Print had a more mixed quarter with the headwinds in advertising we saw in the latter part of 2014 continuing through the quarter. Successful cost management contributed to a 5 % increase in the Company’s adjusted operating profit and adjusted earnings per share of $0.11 compared to $0.07 in the prior year. Let me begin with digital subscriptions. We added 47,000 net digital subscribers in the quarter, more than in any quarter in the past two years -- which is particularly pleasing given that our pay model has now reached its fourth anniversary. That quarterly increase brings us to a total of 957,000 paid digital subscribers. The strong digital consumer growth in the quarter was attributable to improved retention, higher traffic to our digital assets and the seasonality of education subscriptions. The higher traffic is evidence of the effect of the program to develop our audience we began to execute in the second half of 2014. The early results of this program have been very encouraging. U.S. digital traffic for instance in the form of unduplicated unique users across all devices, was up 22% year-over-year in the first quarter to an average of 59 million monthly users. We’re convinced there is scope to increase our digital audience much further without diluting the exceptional levels of engagement which we attract. The results should help boost both our digital subscription and digital advertising businesses. So let me turn now to digital advertising, where we also saw continued momentum in the quarter with year-on-year growth of just under 11%. Mobile, Paid Posts, video and programmatic all contributed to that growth. I also want to add a comment about ad viewability, the industry wide effort currently under way to ensure that advertisers only pay for impressions that have actually been viewed by users. We support viewability and, in common with other publishers, we are in the process of optimizing our website to meet the new standard. While we see some reduction in overall ad impressions as we cycle through the change, viewability plays to The Times’s fundamental strength in engagement. Any short-term impact on revenue will depend on how the market responds, and we’ll know more about that in a few months’ time, but in the long run we expect viewability to help, rather than hinder, our digital advertising growth story. Now let’s consider the print side of our business. As I said at the start, the print advertising headwinds we saw in the second half of 2014 continued into the quarter. Overall, print was down 11% year-over-year which, when blended with the gains in digital advertising, led to an overall advertising decline of 6%. That 11% number includes steeper falls in advertising for our international newspaper as well as some foreign currency effects. I should also note that print advertising in last year’s first quarter was up 4%, due in part to the oneoff boost provided by the Super Bowl in New Jersey and also by a particularly strong Oscar race. The year-over-year comparisons become less onerous as we go through the year. There was a decline in print circulation revenue of 2.4% in the quarter, as reduced volume more than offset the positive effect of our January price rise. Nonetheless, we are focusing our efforts on print circulation retention and believe there is much to be done to better retain our current subscribers. The strong digital subscription story meant that overall circulation revenue grew in the quarter by just under 1%. Since our last earnings call, we have made two important leadership appointments. Kinsey Wilson has added the role of EVP, Product and Technology to his current duties heading up Digital in our newsroom. Kinsey is now leading the work on the development of our digital portfolio. Indeed, we have already announced that next month we will be converting NYT Now into a free product. We want to continue to use Now to reach younger audiences and to pioneer new ways of delivering compelling news on smartphone. We’ll have more to say on the broader portfolio over the next few months. Kinsey has already had a massive and entirely positive impact at The Times in his first few months, and I’m delighted that he’s going to have this clear overview of all our digital operations. Just a couple of weeks ago I also announced that Meredith Kopit Levien, our EVP of advertising, would be taking on the expanded role of Chief Revenue Officer, meaning that her responsibilities will now include leading the marketing function as well as advertising. Meredith has had a dramatic impact on advertising, gathering a great team around her, backing innovation, building new products and business lines. And I’m convinced that she can bring similar flair and focus to the vital work of brand and consumer marketing at The Times. I also believe that our new leadership team will allow us to move further and faster in developing this business. And let me finish by noting that the journalism of The New York Times, on which everything else depends, continues to be recognized as amongst the very best in the world. Last week, The Times won no fewer than three Pulitzers, more than any other news organization. But now to give you more detail on the financial picture, let me hand it over to Jim Follo.
Jim Follo: Thanks, Mark, and good morning everyone. As Mark highlighted, 2015 got off to a good start as we maintained our progress on both the digital advertising and digital subscription sides of our business. There is of course still much to accomplish in 2015 though, in the first quarter for instance, the momentum across digital could not offset overall print declines, leading to total revenues ending down. Operating expenses decreased in the first quarter by nearly $16 million overall, driven by print distribution efficiencies. Our focus on reducing core costs remains a top priority, but we do not expect future quarters to see the same level of expense declines as we saw in Q1. Nonetheless, cost reduction initiatives we recently implemented across the Company should allow us to maintain lower costs in 2015, relative to 2014 levels. Adjusted operating profit rose 5% in the quarter to 59 million. We reported GAAP operating loss of approximately 11 million, driven by a $40 million pension settlement charge in this year’s first quarter as well as a $5 million multiemployer withdrawal charge, compared with an operating profit of 22 million in the same period of 2014. Circulation revenues increased approximately 1%, with our digital subscription revenue stream more than offsetting print declines. We benefited from January’s home-delivery price increases, although higher revenue from the new rates was outweighed by overall volume declines. In the first quarter, digital-only subscription revenues were approximately $46 million, an increase of 14% from the same quarter in 2014. Advertising maintained its progress on the digital platform in the quarter, finishing up 11% and mitigating the print loss of 11%. Digital advertising continued to see a boost from mobile, Paid Posts and video and programmatic but overall advertising revenues still declined about 6% in the quarter. Advertising revenues continued to exhibit month-to-month volatility. Combined print and digital advertising declined 10% in January, which is when we saw the bulk of the Super Bowland Oscar-related strength in last year’s first quarter and 3% and 5% in February and March, respectively. Print advertising revenue was down during all three months while digital was consistently strong. And lastly on the revenue side, our other revenues grew 6% in the quarter driven by higher revenues from our conference business as well as from rental income. Expense-management efforts remained front and center in Q1, as we continued to lower core costs while devoting resources to key investments. Costs were down 4% on a GAAP basis in the quarter, and we reported a diluted loss per share of $0.09, driven by the two pension charges. Costs declined mainly due to print distribution efficiencies as well as declines in depreciation and amortization, raw materials and outside printing expenses. Adjusted diluting per share was $0.11 in the first quarter compared with $0.07 in the prior year. Our non-operating retirement costs were flat in the quarter at 8.9 million. Retirement costs are expected to generally flatten out in 2015. We expect non-operating retirement costs in the second quarter to be approximately 9 million versus 8.3 million in Q2 of 2014, due to higher multiemployer pension withdrawal costs. In Q4 of 2014, we completed the rental of an additional floor of our headquarters building, which makes up approximately 31,000 square feet. We began recording the associated rental income in the first quarter, which partially drove the increase in other revenues in the quarter. Moving on to the balance sheet, our liquidity position was further bolstered in the first quarter. Our cash and marketable securities balance was 848 million, and our total cash position exceeded total debt and capital lease obligations by approximately 420 million. Late in the first quarter, we repaid at maturity the remaining 224 million principal amount of our 5% senior notes. While interest expense was lower in the quarter partially as a result of this repayment, the full benefit will begin to be realized in Q2, when interest expense should decline by approximately $3 million. At the beginning of the first quarter as part of a warrant exercise, we announced the intention to make share repurchases of approximately $101 million, equal to the proceeds received from the warrant transaction. We believe a repurchase program is the best use of cash in this instance since it will largely neutralize the transaction’s impact on our diluted share count. To that end, the Company has repurchased approximately 547,000 Class A shares for 7.3 million to date as of yesterday. Regarding the pension settlement charge we took in the quarter, in Q4 the Company offered participants in various defined benefit pension plans the option to immediately receive a lumpsum payment or to immediately begin receiving a reduced monthly annuity. We made settlement distributions of approximately $96 million on that offer in the first quarter, all of which came from pension assets. This is what is driving the $40 million special charge that you see in today’s results. The effect of this offer was to reduce the overall size and inherent risk of our plans, as well as to modestly improve our funded status. We also booked a $5 million charge for a partial withdrawal obligation under a multiemployer pension plan in the quarter. Moving to our outlook, second-quarter circulation revenues are expected to increase at a rate similar to the first-quarter trend, driven by the benefit from our digital subscription revenue growth and January’s home-delivery price increase, despite continued challenges on the print side. We expect the total number of net digital subscriber additions in the seasonally slow second quarter to be approximately 30,000, partially driven by the conversion of NYT Now to a free product and the associated loss in paid digital subscriptions. Advertising revenues are currently expected to be down in the mid-single digits, driven by print declines, while the digital trend is expected to be consistent with first-quarter growth. Other revenues are expected to increase in the low-single digits as there are no conferences planned for the second quarter. And second-quarter operating costs and adjusted operating costs are each expected to decline in the low-single digits as we get the benefit of late 2014 cost reduction initiatives. With that we'd be happy to open it up for questions.
Operator: [Operator Instructions] Your first question is comes from Alexia Qudrani from JPMorgan. Your line is open.
Alexia Qudrani: Thank you. I have two questions. First is, I think in your opening remarks, you talked about, there's much to be done to retain, I think, print subscribers. I was hoping that you could elaborate on what those plans are, and how they may work? And then the second question is just really on the cost side. You guys continue to do such an impressive job reducing your costs, specifically on the print distribution efficiencies you're finding, can those continue? And maybe some color you can give us on the outlook for the raw material costs? And whether they're meant to continue to decline? 
Mark Thompson: Alexia, just to say firstly that we think there's scope in both areas -- there is more we can do to on the print retention side, including by the way enhancements to the print offering. I think the brilliantly launched New York Times, the new men style section, fundamental work innovating and strengthening the product, but there is also work we can do, we believe inside our current system direct marketing operation to prove print retention. And as Jim will say in more detail, well there's scope to continue to work on the cost side, let me handover to Jim.
Jim Follo: We continue to be aggressive on things not just on print distribution side but print distribution is obviously still a pretty big component of our cost structure. We think there is more work to be done there and we've kind of right people placed do it and are quite good at it. So we expect -- it's gets more difficult but we do expect to be able to continue to find ways to be more efficient in our print operations and that's just necessary and that's why we think about that. On the news print side, news print prices continue to come down, so we've benefited both from a price and volume perspective. Units are down modestly but the price continues to move in our favor and hard to say -- I mean there is a quite a bit of capacity in the market and as always there's an over capacity in the market, we think price will continue to be under pressure and we'll get the benefit of that.
Alexia Qudrani: If I could squeeze in one more, on the digital sub growth, which continues to surprise us on the upside. I don't know if you have a number you can share, but longer term, do you guys have an internal number of how big that can get? That continues to you know, have this impressive growth many years after its launch?
Mark Thompson: I think it's a readable question to answer, I mean what I can say is that, I think we're so encouraged I mean these actually real number 47,000 net sub is very encouraging number, but as the quality, all the subscribers continue to encourages, we are having some success in reducing churn on the digital side backed in the number. And we've very encouraged by the loyalty of our digital subscribers particularly once they get to the 1 year maturity in that subscription, there are lots of underlying positive indications in that. We got Kinsey Wilson now on the case working with us and Meredith will be in her new Chief Revenue Officer role also working on whether there are further ways of improving and tweaking that complete portfolio of offers and products in the digital products side. But we continue to be very bullish, we're four years in and we're continuing to see good steady strong growth. 
Operator: The next question comes from Craig Huber from Huber Research Partners. Your line is open. 
Craig Huber: I got few questions, my first one if you think about the second quarterly outlook for advertising I'm curious how does the month of April shape up for you? Similar to January is down 10% or the February-March down 3% to 5% that you said?
Meredith Kopit Levien: I am happy to take that one, hi Craig. I would say as Jim suggested, print generally feels like we'll be pretty consistent with the first quarter. Although, January was particularly bad I don't know that we will see that again. And in digital we’re up to a brisk start. 
Mark Thompson: Very positive start. 
Meredith Kopit Levien: Very positive start.
Jim Follo: With comps getting a little tougher as we get into the quarter. 
Meredith Kopit Levien: Yes.
Craig Huber: So I'm sorry, if that's to say that in the month of April, we're basically at the end of the month now, is that down similar to down 3% to 5% you saw in February and March?
Jim Follo: We've had a decent month of April largely driven by really strong digital month, but again, the comps gets more difficult in the back part of the quarter. That’s what gives us rise in a kind pf mid-single digit and combined. 
Mark Thompson: On the comps, as well through the rest of the quarter and then through the rest of the year, the print comps, digital comps tend to get tougher because without this is latter part of 2014 when we started seeing really strong digit growth. 
Jim Follo: But if you look at the April comps last year, they were toughest for the quarter. 
Craig Huber : Then on the print circulation volume side, I believe the first quarter Daily was down -- I am sorry the fourth quarter down 6.7%, Sunday was down 4.5%. What were those numbers for the first quarter year-over-year please?
Jim Follo: The number for Daily in the first quarter, we've had about 6.7% down and Sunday 5.2% down. One thing I would say about that is, we will expect those trends to improve for a number of reasons, as we go throughout the year, and we change some of our marketing efforts and we moved away from some lower retaining copies towards the second half of the last year. So once we get into the second half of the year, we would expect some of those trends to begin to moderate. So we’re feeling some of the effect of that. 
Mark Thompson: Also it's fair to say in that overall print circulation decline for Q1 of 2.4%, whether this currently affecting that number as well. 
Jim Follo: I would say about quarter of that would be currency related. And that will also moderate as we go through the back half of the year as the euro was declining throughout last year. So we will see some moderation on that as well. So we look into back half of the year to see more positive trends in the print circulation side. 
Mark Thompson: On the currency effect, as well positive effect on the cost side, so you can't say there was a -- as a well as profitability growth. 
Craig Huber : And then Jim another housekeeping question please, what was the basic shares outstanding at the end of the quarter please?
Jim Follo: End of the quarter I have only the average which obviously will be higher at the end of the quarter or maybe at 163, that number should go higher because the warrant exercised took place -- it wasn’t outstanding for the full quarter. So they should tick up a little bit after the 163 as we go into next quarter. But then you have the factor in whatever the activity run share buybacks are. 
Craig Huber : Okay. One last question, please. Your cash on the balance sheet -- your net cash on the balance sheet, obviously, you've been getting a lot of pressure from investors. I'm sure it's going to intensify here, going forward, to do something with that cash, rather than just let it sit there. What is your long-term expectation of what you are going to do with that? Just preparing for a rainy day here, when we get back into a full-fledged recession?
Jim Follo: We are in the early stages of a share buyback, we've committed about $100 million buyback we’re very early stages we didn't really start executing on that until late into the quarter. So some of that cash we expect to be putting in share buyback. We feel at the dividend level, the amount of cash that we are generating and that we’re paying up in dividends feels about right, given where we are at. Look pension obligations is not an insignificant issue for us, so we don't think we will be putting cash against that, we have to be mindful and we can't ignore that that’s not in the net debt number but we have to be mindful of that. We will continue to explore the best use of it but as of right now we feel like maintaining a fairly conservative balance to positive feels about right but we are… 
Mark Thompson: One more thing about that is, recently I have got in the place now the leadership team that I worked in this company and we got -- I mean digital, revenue marketing and advertising. And we will be looking hard at whether there are opportunities to invest both organically and what we are doing already, but potentially also in new business lines. So I also think of this being a period as we think how we grow our company where we will be looking of course judiciously but looking further ways of investing in growth.
Operator: Your next question comes from Bill Bird from FBR. Your line is open. 
Bill Bird : Good morning. On paying digital subs, how many will you lose on the conversion to free at NYT Now? And I was wondering, on digital advertising, if you would just talk a little bit about each of the growth areas? Mobile, Paid Posts, video, and how you see them developing? Thank you.
Jim Follo: The expectation when we move to Pay is that we’ll be able to convert at least some portion of our subscribers to paying customers to our core app. So we don’t think we’ll lose the full count. But we do think this probably 4,000 to 5,000 units that will likely come out of our subscriber account. So that 30,000 number I gave I would think that we will be kind of on gross basis will be some -- maybe 5,000 higher.
Mark Thompson: If it wasn’t for that affect actually, it would be in line with [indiscernible] ahead of the Q2, 2014 number.
Jim Follo: We’ll have to see how many we can convert but I don’t think this is going to be a swing -- a big swing on that issue alone. We stopped promoting heavily that product over the summer, until we felt like we got the product in the marketing so there's not that much pressure on that… 
Mark Thompson: As we said before there's some seasonality in the digital ad numbers we’ve seen certainly saw in 2013, 2014, Q2, partly because it's a lesser quarter for education, Q2 typically brings somewhat lower than Q1. But I think our number given that the fact that Now is going free is -- it supports the idea of continued bullish growth in the subscriber count. And probably means that we had 1 million number, 1 million digital only subscribers probably at sometime in Q3.
Meredith Kopit Levien: And I think you asked about digital advertising. Four main areas of growth really actually five, pay post continues to be a big part of the growth story and we'd still say we’re just getting started there and we’ve made a big expansion of the team here in the U.S. to actually build the print content work and so we expect that to continue to grow nicely, we're also making an investment in building international content studio so we think that will have a nice impact going forward. Mobile has been a growth area, I want to say in the 40% range up over first quarter of last year and that's also an area that we expect to continue to grow and have a lot of optimism around, one of the reasons mobile grew in the quarter as we've done a lot of I think good work to change in many cases ad placements, in very careful ways, with an eye toward user experience, and that’s gone well. Programmatic grew nicely in the first quarter and there is that is mostly coming in the form of preferred and private deals where we're opening up specific demand pool, so a particular market or buying us anymore automated way. And then video which is also still a relatively small business for us. Video is growing and growing nicely. The one other I’ll say is we’re still seeing in digital advertising and I think we’ve got some more running room here, just the benefit of improved sales execution.
Bill Bird : And I’m curious, on video, are you doing any offsite syndicated video? And do you have any aspirations of doing that? 
Meredith Kopit Levien: Yes and yes. So we’re doing some now and we definitely have aspirations of doing substantially more there I think we’ve made video new front this week. We’ve made really good progress on the quality of our video production, the number of productions and now the real work is how do we achieve substantial stream growth and we are working on that.
Bill Bird : And just one final question. How large is mobile, as a proportion of your digital ad revenues? 
Meredith Kopit Levien: I think we just -- Andrea can correct me, but we’ve just crossed more than 10% and we expect that number to keep going up and it’s a big area of focus for us in advertising right now, as it is on the consumer side of business.
Bill Bird : Great. Thank you.
Mark Thompson: The percentages are substantially higher on the consumer side.
Meredith Kopit Levien: Yes, particularly this last quarter.
Mark Thompson: Yes. 
Operator: The next question comes from Doug Arthur from Huber Research. Your line is open.
Doug Arthur: Mark, two questions. The decision to go free on New York Times Now, I guess question one is, why do you think it did not work as a paid model? And then secondarily, what do you hoping to gain by making it free? I would assume, on the digital ad side. And then second question, you're combining marketing and advertising under Meredith. What does that mean? What do you see is the benefit of that?
Mark Thompson: Okay. Doug, two really good questions. Firstly with Now, I think that where we’ve got to with Now is thinking that it will reach a broader audience and build a broader audience free than it could as the subscription product. And I think there is a lesson. When we introduced Cooking later -- or rather a few months after Now last year -- learning from Now we decided the right thing to do with Cooking was to try and build that audience right away before turning to the question of monetization. So the first think is straight forward, we think Now is great and very influential people who use it, love it, but we wanted to get out some more people making it free, we're hoping to do that. And absolutely a bigger audience means that we can think about building advertising revenue from it and then will allow other forms of revenue from Now in due course. But it means the people can really get out there, use it and get to know it. And as for Meredith, I believe in al sort of ways, it makes sense to think about our two revenues stream, advertising and consumer revenue together. There are many things we need to do around the way we think about our content management systems, about the way in which both advertising and direct marketing messages flow into the news feed particularly on smartphone where it makes sense to think about the two together. Creative services we're beginning to have a significant and very exciting business, in actually making advertising content in our T brand studio for our paid posts. We have a big Creative service operation inside our marketing function, to give you those together. I think also as we think about new products and think about what's the best way to optimizing monetization. I think having one leader thinking rather two together make sense, but also I want to say something more straightforward which is Meredith has made a fantastic success in turning around and strengthening our advertising operation and I'm sure she'll do the same in marketing. 
Operator: Question comes from Kennan Venkateshwar. Your line is open -- from Barclays.
Kennan Venkateshwar: So just a couple of questions. First on the trends, in terms of your print versus digital, now that digital has been around for the last few quarters. Just wanted to understand what the underlying trends looks like where it says print and churn? Or is -- and then on -- how many of your print subscribers moved over to digital? What kind of consumption patterns there are between mobile, tablet, desktop and so on? If you can just help us with that, that will be very useful.
Unidentified Company Representative: This is a gigantic topic, Kennan. I'm not sure we can do complete justice to your question right now. But headlines once you headlines is I mentioned loyalty digital subscriber loyalty, a year or after a year of subscription and on app. Our digital subscribers are slightly more loyal than our print subscribers. We are seeing a very competitive picture in terms of print to digital subscription. But I think without wanting to disclose detailed numbers, I would say that we are seeing a movement week-by-week from print to digital, as one of the movements in subscription. It is relatively small number, small percentage numbers at the moment. The numbers are as we're slowly-slowly growing. We believe that the print subscription offer remains relevant to many-many households and it's the print product remains to great product. Obviously we would much rather if a print subscriber wants to no longer receive the physical by any chance, we would much well convert it to becoming a digital subscriber the to churn out of our ecosystem altogether. But we also don't want to do unnecessary hurry in that process, one of Meredith's challenge is going to be to in fact print through and manage that process of transition in a way which generates the most cash flows over the long term and most future groups of business and we're thinking very carefully about that. In terms of different platforms it won't be surprised to hear that we're seeing dramatically more use of mobile platforms in particular smartphone that would have been true a few years ago, that's also true that although smartphone is heavily used subscribers. Much of the increased traffic to smartphone is from somewhat lighter users, so majority of our visits are to mobile rather than desktop. But if you look at time spent, desktop and particularly the amount of time spent by very heavy use subscribers, a lot of it is still on desktop. So we're seeing a transition. I believe that we're beginning to solve the issues around monetization on smartphone with superior ad units, video will play a parts in that, papers will play a part. We also believe that we are doing a better job in terms of convincing subscribers but it makes a lot of sense to have subscriptions even if they are smartphone heavy users. So that's not a complete answer but I've touched some of your points anyway.
Operator: Next question comes from John Janedis from Jefferies. Your line is open. 
John Janedis: Couple of questions, first there has been a lot of talk in the marketplace about pressure and preprints and some changes from the consumer electronics and re-tab articles. Can you tell us what you are seeing and just a reminder what percent of ad revenue in the category represents?
Meredith Kopit Levien: By preprints I assume you mean FSI, what we can FSI or Free Standing Inserts. I do think that, that is a category that is under fair amount of secular pressure, it is not a big category for us and so well it is under pressure it's not of a huge impact because again it's a small minority of our print advertising business. It's a very small part of business so most of our print advertising is still coming from major national advertisers, we have a fair amount of optimism there particularly around the new products that we've launched for those advertisers, like the magazine like even tea which was redesigned a couple of ago, but to great success and then Style. 
Mark Thompson: I think it's worth adding that without [indiscernible] but we believe that measuring column inches and studying our competitors that we’re doing significantly better in our national print advertising business. 
Meredith Kopit Levien: And I will say one more thing just under preprint or FSI specifically, it is a business that we are putting some thought into, so making sure that we have it staffed right way and we’re optimizing our execution is something that we have spent some time on. So we were committed to getting every last dollar that’s there into the Times from FSIs. 
John Janedis: And then Jim I just wanted to clarify what you said one cost. I think in your remarks you said future quarters wouldn't have as much savings and then said that I think 2Q cost would be down low single. So I wanted to clarify were you referring to the 4% GAAP number from Q1 and as you know that the full year will be down modestly. 
Jim Follo: I think the way it will play out is I think you will see good performance in Q2 where some of the things we benefit in Q1 might be kind of one time in the quarter. I think what we will see in Q2 is some of the marketing spend around some of the new product launches that took place last year which won't exist this year will suggest that will have some pretty good performance in Q2. I think the back half of the year will be less aggressive than the first half of the year, but still I expect cost will largely be down back half of the year as well but probably more modest in the first half. 
John Janedis: Okay, and maybe one quickie on advertising. I just wanted to clarify. We haven't discussed this for a while, I think. But just in terms of the Easter shift -- because it sounds like April seems somewhat in line to March. But was there -- is there, more or less, like a tougher comp, because Easter had a positive impact on March and a negative one in April? Or is it de minimis.
Meredith Kopit Levien: I think it's pretty de minimis. I don't think that had a material impact.
Operator: We have no further questions in queue. I'll turn the call back over to the presenters for closing remarks. 
Andrea Passalacqua: Thank you for joining us this morning and we look forward to talking to you again next quarter.
Mark Thompson: Goodbye everyone, thank you.